Operator: Thank you for standing by. This is the conference operator, and welcome to the Altus Group Second Quarter 2022 Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Camilla. Please go ahead.
Camilla Bartosiewicz: Thanks, Joe. Good afternoon, everyone, and welcome to Altus Group's second quarter results conference call and webcast on the period ended June 30, 2022. The news release announcing our results was issued after the market close this afternoon and is posted on our website and Cedar profile, along with our interim MD&A and financial statements. Joining us today are CEO, Jim Hannon; and CFO; and Angelo Bartolini. We'll start with some prepared remarks, and then we'll move right into the Q&A session. If we miss any questions, please contact me directly by email. Angelo will begin by covering up our financial performance, and then Jim will provide an operational update. Before we get started, please be advised that some of our remarks on this call may contain forward-looking information. Forward-looking information is based on assumptions and therefore are subject to risks and uncertainties that could cause actual results to differ materially from those projected. You can read about these assumptions, risks and uncertainties in today's press release and our most recently filed MD&A and annual information form as well as in our other filings with the Canadian securities regulators. We undertake no obligation to update forward-looking information except as required by law. Also, please be reminded that Altus Group uses certain non-GAAP and other measures as indicators of financial and operational performance. An explanation of these measures are detailed in today's news release, MD&A and in our other filings with the Canadian securities regulators. Okay, over to you, Angelo.
Angelo Bartolini: Thanks, Camilla. I'll start by covering off our financial performance and balance sheet and then turn it over to Jim for an operational update. We're very pleased with another strong quarter marked by solid financial results and steady progress against our strategic initiatives. In fact, this was a record quarter for the highest quarterly revenue and adjusted EBITDA. Like all global companies, we had some more pronounced foreign exchange impact this quarter, so please note that unless otherwise specified, all figures referred to today are as reported and all growth rates are on a constant currency basis. On a consolidated basis, revenues were $206.4 million, up 20%, of which 16% of the growth was organic. And adjusted EBITDA was $49.7 million and also up 20%. This reflects the strength of the property tax annuity revenue stream, which essentially posed directly to the bottom line. But also signifies improvements in our Analytics, as we capture synergies from last year's acquisitions and continue to adjust our cost structure in line with our new operating model. The momentum at Analytics continues with the business steadily performing with double-digit top and bottom line growth. It was another quarter of solid sales execution, driving bookings and revenue growth, as well as margin expansion. The growth reflects healthy demand for our products and services in combination with the operational enhancements we've been making, as well as our disciplined approach to expense management. Analytics revenues came in at $82.1 million, up 37%. Organic performance is an important KPI for our sales execution and I'm very pleased with the 26% organic revenue growth in Q2. This marks the fourth consecutive quarter of organic constant currency revenue growth in the 20% range, with the Q2 being the highest. Our focused investments towards a recurring revenue model are paying off. Over time, revenue was $70.9 million, up 41% and up 28% on an organic basis. Sequentially over time revenue was up 4.5%. This also reflects the strength of recurring bookings from our past quarters. As a reminder, bookings typically take a quarter or two to flow into revenues. Year-to-date, overtime revenues now represent 86% of our total Analytics revenues, a solid position to be in during the periods of economic uncertainty. To provide you with some additional color, we had double-digit growth across all our key solutions. Revenues from software, data Analytics and appraisal management were up, were all nice. A high percentage of our revenue growth continues to come from our existing customer base. Once we win a customer, we grow with them. This validates our high value we provide to our clients and the significant runway for wallet share expansion. And we continue to steadily add more customers to our roster, both in North America and internationally. In Q2, we added 214 new logos for ARGUS. This is in addition to new logos for our other solutions. Our ongoing international expansion efforts are progressing well too, while the majority of our growth continues to come from North America, we also posted notable growth international both in EMEA and APAC. On the earnings front, adjusted EBITDA showed a positive improvement in the quarter at $2.8 million [ph] up $49. This is significant when you recall, we purchased Reonomy late in 2021 and an early-stage business with an adjusted EBITDA annualized run rate loss of about $20 million. Although we have begun to achieve synergies, we still have more to go. Also bear in mind, that as part of the purchase price adjustments for Reonomy, we incurred a discount on deferred revenues of approximately $0.5 million in Q2, which also impacted adjusted EBITDA. This adjustment had a 0.5% impact to margins in Q2. While gradually improving, Reonomy's adjusted EBITDA performance continues to negatively impact margins in the near term but this is in line with our plan. As we have noted in the past, we expect the Reonomy business to operate at a breakeven level by the end of Q4. Overall, adjusted EBITDA growth benefited from higher revenues, improving operating efficiencies and ongoing cost optimization efforts. We expect gradual quarterly improvements in margins consistent with our locations to improve full year margins over last year. Our bookings at $23.5 million were solid. They are predominantly recurring. As you know, this is where we have targeted our investments and our go-to-market focus. With respect to the bookings growth, if we break that down by bookings type, recurring bookings were up significantly, growing in the high double digits. In fact, it was a particularly strong ARGUS software bots quarter. However, the bookings that relates to onetime engagements were significantly lower given the magnitude of sizable onetime projects that closed in the second quarter of 2021 that did not reoccur. You might also recall that in the prior year, we were also benefiting from a rebound in some software and consulting projects that have been paused at the peak of the COVID in 2020. Turning to the CRE consulting site. Our property tax Q2 revenues were $93.5 million, up 11%, and adjusted EBITDA was 42.1%, up 10%. A high majority of the growth was organic. We had solid growth in the U.S. where there was some seasonality in Q2, driving increased case settlements. We also benefited from higher valuations that provided us with increased opportunities for bigger wins. In Canada, our revenue performance was largely consistent with last year. Declines in Western Canada were offset by stable performance in Ontario and modest growth in Eastern Canada. And all of this reflecting timing on certain market cycles. And then the U.K., revenue growth was modest, impacted by FX headwinds that overshadowed double-digit constant currency growth. The U.K. continues to be impacted by the ongoing slowdown in settlement activity volumes with evaluation office resources are tied up preparing valuations for the new cycle that starts next year. The pace of settlement isn't wrapping up at the levels we expected. So effectively when the backlog starts to clear, this is going to still in the future quarters. We've seen this play out before. So all to say, our pipeline of cases to be settled in upcoming quarters and spilling to 2023 remains robust. And of course, the cyclical and seasonal annuity billings in the U.K. was a significant contributor in the quarter, representing $33.2 million in revenues compared to $25.7 million in the second quarter of 2021. We're really pleased with how this revenue stream has grown with the increase reflecting a higher cumulative number of the 2017 cycle cases settlement. As a reminder, this annuity revenue stream leads up next year with the start of the new cycle before it starts to ramp up again in 2024. Unlike the U.S. or Canada, where we bill a client wants for the savings over the whole past cycle, in the U.K. we bill [ph] line annually as a percentage of the savings achieved during the appeals process. Hence, we refer to that as – that billing as the annuity. As we start a new cycle next year, the volume of appeals that drive revenue will need to be rebuilt, but we still have a healthy backlog of our appeals clear in this current cycle. Overall, we're very well positioned for the year as we have a healthy backlog of tax appeal cases to be settled, a healthy pipeline and our people are the best in the industry at maximizing success rates for our clients, which works well with our contingency model. Additionally, our valuation and cost advisory businesses had a good quarter with revenues up 13% to $30.9 million and adjusted EBITDA up 67% to $4.5 million. This reflects continued healthy market demand, as well as good sales execution as both businesses are now closely aligned with our Analytics operating model. We also benefited from a lower compare in the same quarter last year, which, as you might recall, had some impact from the cybersecurity incident. As you may recall, in Q1, we initiated a global restructuring program as we drive towards greater efficiencies in our operating model. We expect this program to continue throughout the year and will point out that this is always part of the 2020 plan. In Q2, the onetime restructuring costs were $5.5 million. This primarily related to employee severance costs reflecting the synergies we're obtaining from recent acquisitions, efficiencies gained from investments in technologies and the ongoing evolution of our target operating model in support of our strategic initiatives. Turning to our financial position. Our balance sheet remains very healthy, and we continue to have significant financial flexibility. The net cash from operating activities continue to be strong. And we are reinvesting in our core infrastructure to drive efficiencies and margin expansion. At the end of the quarter, we amended our credit facility to increase borrowings from $400 million to $550 million, with certain provisions to go to $650 million. We also welcome three new syndicate members and extended the maturity to 2022, an additional 2-year extension option. Pricing remains the same on pre-existing levels. However, we added security on certain assets in North America and the U.K. The other notable items, we increased our maximum leverage threshold 4 to 4.5 times, with the added flexibility and go up to 5 times following certain business acquisitions. The goal here was to maximize our financial flexibility to be best positioned to our strategic acquisitions as opportunities arise. But as you've heard us say before, our optimal target is to stay around the 2.5 times leverage ratio range. we would only go higher above 3 times for highly strategic acquisitions, but we have a solid deleveraging profile to target the range within 12 to 18 months. We finished the quarter with a cash position of $57.1 million and with $345 million net debt. Funded debt to adjusted EBITDA leverage ratio, as defined in our credit agreement, was 2.63 times, while below our new maximum limit at 4.5 times. Applying our cash, the net debt to adjusted EBITDA leverage ratio was 2.37 times, representing a very healthy balance sheet. Given our growing adjusted EBITDA levels and our ability to generate strong cash flows, we are able to deleverage quickly and we acquire available capital towards growth initiatives. And finally, before I turn it over to Jim, as you saw in today's press release, I wanted to share with you my plans to step down as CFO by the end of the year. This gives us plenty of times to conduct a comprehensive search for my successor and for me to support the transition. After nearly 15 years at Altus Group, the time has come for me to turn the page on to my next personal chapter. Very few public company C-suite executives have enjoyed 10 years as long and rewarding as I've had. I've had the runway and time to make lasting contributions, working alongside the most talented people in the CRE industry and capital markets to build something truly transformational. The last 15 years have been some of my best. And I'm incredibly proud of all that we accomplished in - Altus to be the trusted global leader that we are today. I'm looking forward to taking some time to spend with family, to explore life interest outside the corporate finance world [ph] before I jump into something new. Our platform for growth and operational excellence have never been stronger. I would like to reaffirm the strong conference I have in Jim and the executive team who are delivering on offices, untapped potential. Our growth engine is roaring and the results are showing in our financial performance as we are on track to deliver another record year. I firmly believe Altus' as best days are still ahead and I wish everybody continued success. I'd also like to thank my team. You're one of the strongest finance teams I've had the pleasure to work with. And I'm so proud of all your accomplishments, I will definitely miss you. And finally, it's been a great privilege to work closely with the Street over the years. Our shareholders, analysts and bankers have been great partners. Thank you for your strong support over the years, and I look forward to keeping in touch. With that, I'll now turn it over to Jim to take us through some of the operational progress.
Jim Hannon: Thanks, Angelo. Good afternoon, everyone. Angelo's sitting right next to me right now. Angelo. I know you're not leaving anytime soon. But I speak on behalf of many stakeholders and thanking you for your outstanding 15 years of service at Altus. Angelo steered the company through a remarkable period of growth and transformation from his first year as CFO, when the company had a market cap just around $250 million to reaching well over $2 billion today. Angelo has been central to our growth and strengthened strategic position over the last decade. Our shareholders have enjoyed significant value creation under his leadership. Congrats on a really successful career here in Altus, Angelo. As you just heard, we had another excellent quarter with all of our business segments growing with strong operational execution against our plans. This is a direct reflection of the bench strength of the team at Altus. Congrats to all my colleagues for a very productive first half of the year. Even in this period of higher interest rates and inflation, the team has put up 20% revenue growth and 16% adjusted EBITDA constant currency growth in the first half, and we're well positioned to continue strong performance into the second half, even considering the market headwinds. Historically, some of our solutions drive during periods of economic volatility, as our customers keep a closer eye on risk and expenses, while looking to uncover investment opportunities or portfolio reallocation. Additionally, reports indicate there's over $370 billion of capital that has been raised for the purpose of commercial real estate investments that's yet to be deployed. Altus is highly regarded as a trusted partner by many of our clients. our offers help claims maximize their returns, protect their bottom line and better manage risk, increasing alpha reducing beta, that's our mission. As proven throughout the pandemic and in the 2008 and '09 downturn, our business is stable across various economic cycles, benefiting from a diversified revenue mix geographically and by offer. At Altus Analytics, approximately 86% of our revenues are recurring and our key offers are mission-critical to our clients. We're ideally positioned to help clients maximize profits and manage risk as they navigate turbulent markets. Even in a challenging market, we expect our overtime revenue base to be stable and our retention rate steady. Our sales pipeline remains healthy. And at this moment, we're not seeing any impact to our sales cycles. At valuation and cost advisory were experiencing both top and bottom line growth with particular strength in the cost business. And at property tax, tax liabilities don't go away, with the property taxes representing one of the largest operating costs for asset managers, customers become more focused on this line item. Generally speaking, market dislocations caused changes to values. This is a net positive for our tax business, providing us with enhanced opportunities for appeals on behalf of our clients. We're carefully watching economic conditions and the potential impacts to our customers. Our strategic advisers are here to assist clients in navigating dynamic market conditions, with assessments and recommendations deeply rooted in data analytics and technology. That is intelligence as a service. I remain confident that we will successfully achieve our financial goals as we have in past economic downturns. As Angelo said, we had solid operational progress in the quarter, delivering on the commitments we laid out with our 2022 strategic priorities. We have a lot of terrific changes happening across the organization. I'm very impressed by how our people have embraced it. The progress is encouraging. You've heard us discuss simplicity, focus and execution. Simplifying our offers and processes allows our teams to focus on the highest value activities. Investing in our core architecture allows us to deliver advanced analytics, while also making our service deliveries teams more efficient and updating our infrastructure gives us the analytics to improve our own operations. So there's a lot going on, but it's really just one interrelated project, that is simplified of one cohesive set of offers that span the CRE life cycle, run on one architecture that connects the business, operate with one business model and run on one back office infrastructure. We laid the groundwork for these changes last year and much of the heavy lifting in the design is behind us. The second half of the year is about continued execution against our plans. Now we'll discuss some operational milestones from the quarter. On the new offer structure, we're rolling out offers that make it easier for our clients to consume multiple solutions and services from us and historically would have required multiple contracts and disparate pricing structures. The focus in the first half of the year has been on marketing and sales enablement, and we've had some early signs of success with new clients. To reference a couple of notable client examples from Q2. In Germany, we closed the deal with a sizable investment and asset development company. This highlights the successful value selling to the client in a core growth geography. This deal combines cloud-enabled ARGUS Enterprise, ARGUS Taliance, implementation services and ongoing managed services to support this client as they launch a new real estate vehicle. In another example of success in the quarter, we continued our expansion into the debt adjacency with a multiyear mortgage loan valuation and data benchmarking deal with Greystone [ph] Greystone is a private commercial real estate finance investment company with leading expertise in debt equity, investment sales and loan servicing solutions. Despite rigorous competition for this mandate, we stood out as a service provider of choice. On the architecture side, the development team is making solid progress to have the first phase of the Altus performance platform ready in Q4. To be clear, this is not a new product, rather it is our internal platform that will integrate our tech stack and unify our enterprise-wide data. This s how we will consolidate our enterprise-wide data on assets to drive our intelligence as a service model. And as you've heard us discuss in the past, this is how we get R&D efficiencies and improved platform economics. With respect to the evolution of our operating model, based on the changes we made at Analytics at the start of the year, we have very encouraging KPIs. As you heard from Angelo, this includes our accelerated organic growth. Now we're in the process of a similar redesign of property tax. We rolled it out to our tax group in July. We're in the process of organizing the teams to the target model. And on our One Altus initiatives, steady progress on the back-office infrastructure with a focus on change management. These investments include a consolidation of our CRM, finance and HR systems, while concurrently pursuing programs that elevate culture, employee experience and diversity, equity inclusion. A couple of recent highlights on that front include a new performance management system, a rebound DEI strategy, and next week, we'll be launching our employee share purchase program. We're steadfast in our efforts to make it rewarding, exciting and easier to work here. I have high confidence in the executive committee to continue to successfully implement these outline changes, as many of us have significant experience leading teams through these types of business transformations. Noting another significant milestone achieved in Q2, we surpassed the 50% threshold in our ARGUS Cloud adoption. We ended the quarter with 52% of our AE users on the cloud right on plan with the target to get to the low to mid-60s by the end of the year and to have the large majority of our users on cloud by the end of '23. We had a high volume of existing clients converting their on-prem licenses, driven in part by the end of support in Argus Enterprise versions 12 and older. The end of support took effect at the end of June. Additionally, we announced pulling back of special early migration and pricing incentives, which created an impending event for our migrations. We also had a handful of larger clients, those with more than 100 users, contracted to move to cloud in Q2. As many of you are aware, Argus as the de facto standard for valuations. It's the source of truth that's been relied on by the world's largest CRE firms for over 30 years. It's taught in over 200 colleges and universities worldwide and utilized in over 105 countries. Argus sits at the intersection of the industry's valuations and transactions, populated with hundreds of high-value, real-time data points at the asset level. With more than half of our Argus Enterprise user base now on the cloud, we've 1hit critical mass as we strategically pivot to enhance our data analytics capabilities. Today, there are over 4 million models in Argus Cloud compared to just 55,000 2 years ago. That's 4 million valuation models and an estimated 500,000 unique models globally. This enables our product innovation plans. In closing, we remain very well positioned for the future. Altus Analytics is firing on all cylinders. Cloud adoption is at critical mass, and we're putting up strong revenue growth rates, particularly in the overtime category. On the CRE consulting side, our valuation and cost advisory businesses are stable and growing. The Property Tax business has an excellent growth runway over the next several years following the U.K. valuation reset in '23. The cash flows of the business are funding the CapEx investments we are making to improve our corporate function efficiency, business unit performance, as well as tech development. In particular, investments in the analytics business as we continue on our path to the $400 million revenue target established several years ago. These investments allow us to drive EBITDA growth even as tax jurisdiction cycles reset. And finally, I'm very excited about the product innovation on the horizon. With the release of the Altus performance platform in Q4, we're advancing on our plans to deliver predictive analytics capabilities. Okay, let's open the line up now for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Yuri Lynk with Canaccord Genuity. Please go ahead.
Yuri Lynk: Hey, goo evening, everyone.
Angelo Bartolini: Hi, Yuri.
Jim Hannon: Hey, Yuri.
Yuri Lynk: Angelo, congratulations. It's been, I don't know, 10 or 12 years, we've been on these calls. So it's been – you've been a steady hand and it's always been a pleasure.
Jim Hannon: Thank you very much, Yuri. Same here.
Yuri Lynk: Now I'm going to hammer you with a couple of questions. Yeah. So just the way some of the acquisitions are starting to get included in your organic growth calculation. It looks like in the quarter, StratoDem and Reonomy contributed about $6 million of revenue. Can you just talk about the growth of particularly Reonomy since you purchased it, if it had kept up with the pace of growth at the time of acquisition?
Jim Hannon: Yeah. I mean, the Reonomy acquisition is on target. We're integrating the business, particularly folding it into our data strategy. There is lots of benefits both from an IP standpoint that we've achieved and it does provide us with a database that we're able to leverage on the Analytics side of our strategy. In terms of the growth, we are achieving our plans in the sense that from the - at the enterprise level, where we're succeeding in terms of hitting the targets where we're seeing still a little bit of churn is is on the lower end of the market, which we've also talked about before and which we're addressing. But we - the whole strategy with the Reonomy and the ability to cross-sell sort of the existing solutions is really at the enterprise level and then to leverage our data and analytics strategy, right. So Yuri, Angela said critical to our IP. The parts of the Altus performance platform that are coming out in Q4 we were able to accelerate them to Q4 because of the underlying technology that we acquired in Reonomy. So it's not just the data business and the face of the data P&L, expect core underlying technology that we're leveraging and to accelerate all of our data cap – our analytics capabilities.
Yuri Lynk: Okay. I guess the US$18 million of revenue that you bought, you're doing about that much today? Is it about the same?
Jim Hannon: On a run rate basis at the moment is there, but don't forget we're just still early stages with that acquisition. So it's going to be – it is been folded into our core data and analytics strategy. So we will see - we will see that number ramp on. The other thing to keep in mind, still, I mean, at this stage, we do have a discount on the deferred revenue. So that was about $0.5 million for this quarter. That 's slowly going to disappear through that the second half of the year. But really, we will start seeing the benefit of that acquisition and it will be integrated as part of our overall data and analytics revenue base. So we're on target. We're basically on target with our forecast going forward.
Yuri Lynk: Okay. Maybe just switch gears to the tax group, new disclosure in the outlook. I think it's new anyway that 2023 EBITDA will be below 22. I don't think that's a huge surprise, given the annuity billings. But I thought previously you thought you might be able to kind of hold the line on EBITDA through some of your other strategic initiatives. Just maybe correct me if I'm wrong. And I guess, why you decided to put that new outlook out at this point?
Jim Hannon: Well, we are going to - like we did $33 million, just over $33 million this quarter. There was an additional year that was extended, so we actually benefited with the additional year. Unfortunately, in some ways, that creates a larger number for us to try to close the gap on. But we are increasing market share. We - there is a number out on the Street right now. We don't give guidance. But we're also - we're looking hitting where - hitting the targets that the Street is expecting. So we are going to grow organic revenues in our current jurisdictions. And so we won't be closing that entire gap, but we also won't be losing the entire amount that was equivalent to the annuity of this year. I don't know if that helps. I mean, we don't give guidance. So it's hard to actually give you anything more specific than that.
Yuri Lynk: Yeah…
Angelo Bartolini: Yeah. And Yuri, also just had maybe compared to past conversations. As you know, Ontario cycle is also expanded. So we're looking at both the U.K. and Ontario ramping up next year which it's just maybe something that hasn't been factoring historically.
Yuri Lynk: Okay. I better turn it over there. Guys, thanks.
Angelo Bartolini: Thank you.
Operator: The next question is from Daniel Chan with TD Securities. Please go ahead.
Daniel Chan: Hi, guys. Jim, thanks for the color you provided on the stability of the business, given the macro uncertainty. Just wonder if you can give us some more color on the customer conversations you're having about their appetite for some of the strategic initiatives you guys are working on, such as the cloud migration and the cross-sell?
Jim Hannon: As the - as our clients are dealing with higher interest rates and inflation in their own workforces, they're turning to technology for productivity improvements. And that's where - as we said, we sit at the intersection of valuations and transactions, but we also can bring a tremendous amount of knowledge of the performance of assets today. So those are the conversations we're having. We're also are - for early clients on the - what we will roll out as our strategy and our intelligence offers. They're leveraging the platform, again, the early adopters right now to find those assets that do outperform identifying macro trends that may not have been obvious or they were not obvious to human data scientists that we can uncover with machine learning to find that extra edge as they think about out how this changing interest rate environment changed their portfolio allocation. So it's right in the strike zone of everything that we've been laying out for the last 18 months or so.
Daniel Chan: That's helpful. Thank you. We also saw a step up in the cloud adoption in the quarter. Just wondering if you're getting to a point where you're starting to see some network effects starting to encourage other people to migrate and hence you're moving that early adopter incentive?
Jim Hannon: Right along the line Daniel what we've been seeing the entire time, which was we've been calling these numbers in Q1, the number did not move a lot, we thought we - we said in the call, we were fine with that. It was right along our expectations that we know when clients contracts are coming up. But yes, I think we're at critical mass now. So we called it an inflection point before. Over 50 we're going and clients are also seeing that we're retiring the older products. We're not doing away with their functionality. We're just retiring the on-prem platforms over time.
Daniel Chan: Okay, that makes sense. And then Angelo, last ones for you. The - should we read into the timing of the expansion of the credit facility considering the increasing interest rate environment, plus all the extra provisions for acquisitions on the more lenient covenants?
Jim Hannon: Sorry, Dan, you could just speak up a little louder, the speaker was a little far from me. In terms of the new credit facility, yeah?
Daniel Chan: Do you…
Jim Hannon: How much other was due to the interest rates going up and for now no position preparation. Well, definitely, it really - it's all about acquisition preparation.
Angelo Bartolini: Just giving us the additional financial flexibility. We've talked about where our target ratio is, leverage ratio at 2.5 times and being prepared to go higher for the right acquisitions, whereby we also have great visibility to be able to deleverage within a very short time frame. And so part of that is just the whole renegotiation of the facility was really to give us that flexibility. And I think we achieved it. The pricing remains the same at the levels that we were at, and there were some other additional benefits in the negotiation. And so really, it's all about the flexibility that we've achieved.
Daniel Chan: Thanks, Angelo. Congratulations and best of luck in your future endeavors.
Angelo Bartolini: Thank you.
Operator: The next question is from Maggie MacDougall with Stifel. Please go ahead.
Maggie MacDougall: Thank you. So I wanted to see if you guys could get into your recurring bookings growth a bit. I know you did comment on it at the beginning with the prepared remarks. , but could you just perhaps flush by that again to give us a quantum of idea of run rate and that we can be thinking about as we go forward in the next couple of months?
Jim Hannon: Let me take this. So it was in Angelo's comments, he said very high organic or recurring bookings growth rate. Maggie, that was the question, right? The recurring?
Maggie MacDougall: Yeah. Can you give us an idea of how big it was?
Jim Hannon: We don't disclose that number. I think I said this on the last call as well. I would love to tell you the exact number because I'm very proud of it. It's high double digits is what we can say at this point. I couldn't have higher expectations for the delivery of the team this quarter on recurring bookings, both organic recurring bookings, as well as total organic bookings and organic - the recurring bookings as a percentage of our bookings mix is also up significantly. So the onetime - so within the bookings number, the total bookings number, as Angelo pointed out, we have a mix shift, but it's a very, very favorable mix shift for us. So it's from a point in time, lower-margin projects, consulting projects to high-margin recurring bookings.
Maggie MacDougall: Okay. Thanks, Jim. The next question I have is on the Rethink acquisition for May. I'm wondering how the integration is going there now that you own it, if there's any learnings that you've taken away, you to start to think about bringing more big data and tech tier tax division?
Jim Hannon: It's going really well. It's not only from just integrating the business unit, but Mordechai Katzman, is the founder of Rethink. Mordechai is right in the middle of all of our strategic planning on tax. So how we think about margin expansion across all of the geographies, how we leverage Rethink not only into an expanded customer base of those clients who don't want the heavy advisory touch, that's more self-serve. But also just the margin expansion opportunities of our own teams leveraging what we think we bring to the table. So it's actually informed and changed the way we were thinking about our - the new tax organization that we just announced internally to our team in July. A lot of that was based around what we can do with Rethink.
Maggie MacDougall: Okay. Interesting. And then one final question for me, just following on the conversation around being prepared for M&A. I mean, you've done quite a bit in terms of software M&A in the last 18 months. I'm sure there's things you're interested in there. But you've also, over time, been quite active in consolidation and growth in the property tax market. So can you give us an idea of how you think about capital allocation between opportunities in both of those segments? And where you may see more of your pipeline in, call it, the next 12 to 18 months?
Jim Hannon: Sure. So as Angelo said, this is just pure good financial cash flow management, just having the flexibility. We're not telescoping anything. There's no announcement coming out tomorrow, anything like that. This is just pure financial flexibility. As far as the way we think about capital allocation, we did major acquisitions. They were core to the technical capabilities that we needed to drive the analytics strategy. On the tax side, when we think about acquisitions, it's either going to be tax tech, that's going to drive not only bigger addressable market, but it's got to drive margin expansion within our own business and then talk about on Rethinks. Or it has to be a sizable enough tax business that there's cost synergy opportunities. So we are not looking at - we're not in the growth at all costs mode at all on the business. We are - we're looking at acquisition opportunities the same way we're looking at our organic investment opportunities with a line on IRR. We have a payback period model that we're looking at and we're keeping a close eye on EPS and adjusted EPS as well as we're thinking through future acquisitions.
Maggie MacDougall: Okay. Thanks. One final one for me. The shakeout in valuations we've seen in the tech space, it's not clear that they've necessarily trickled through the private world yet, although I imagine they have a lot of delayed RPOs. I'm wondering if that's potentially an opportunity for you. But if you look at some good tax that might be available for sale, that maybe would have gone public or had access to funding and other – other ways sheets or forms that you can partner or acquire?
Jim Hannon: I'll just say generally that good assets are still carrying premiums as they should. There's - there is a flight to quality. So some of the valuations are sticking right up there and the private companies are going to ride it out. So there's -Mag, as you know, it's opportunistic. We've seen - you can look at - we're going off the same information. The rest of the world is going up there some deals that have been publicly announced that good assets are still commanding nice premiums.
Maggie MacDougall: Okay. Thanks very much. I'll pass the line over.
Camilla Bartosiewicz: Thanks, Maggie.
Operator: The next question comes from Richard Tse with National Bank Financial. Please go ahead.
Richard Tse: Hey, thank you. Angelo, congrats, all the best to you in the next chapter here.
Angelo Bartolini: Thank you.
Richard Tse: Jim, you made a lot of changes here to the business, especially on the analytics side from an operating perspective. I just want to be clear here, all the sort of the operating changes that business behind you, and it's all about sort of executing on those changes. I'm just trying to make sure that we're kind of level setting here in terms of where you are there?
Jim Hannon: Yeah. Great question. Yes. The short answer is yes. So the - it's a lot of changes. There's - there's not a lot of rocket science. There's a lot of good operating hygiene here. And you can see it in the results and the market - the margin expansion that we put up in Q2 on the Analytics business. As I said, that machine is humming along nicely now right to my expectations of when we started designing that new analytics model almost 2, I guess, 1.5 years, almost 2 years ago now. The tax model looks very similar, and that's not coincidental. There's synergies to be had at a one office level that the company has talked about for a long time, and we're seeing it now. So ordered model-wise, operating model-wise, it's in place. The core infrastructure work, the design has done. So - and the teams are assigned, everyone knows we've got milestones. We have external advisers working with us, and we feel good about it. And we know back to Maggie's capital allocation question. The CapEx we're putting into the infrastructure investments are going to give us nice returns on top of significantly enhanced management information for running the business. So Richard, it's - there's nothing new coming. The changes have been announced and the teams are clear on their missions. And now it's a matter of like some of the stuff just takes time to implement the systems and work flows.
Richard Tse: Okay. And I guess sort of related, based on everything you're seeing is that it's sort of kind of offering as planned based on what you sort of laid out. So it's really a question, just making progress on that.
Jim Hannon: Right. So since the analytics piece is done and announced and went into effect January 4, I've said to you guys before how I think about margin expansion. So it's not a guidance comment. Its just kind of a managerial philosophy. I think we - I know we can grow the top line significantly and expand margins at the same time. It's not an either/or based on the constructs of our business. So we're showing that now and expect the same out of the tax business.
Richard Tse: Okay. And if...
Jim Hannon: The corporate overhead and efficiencies, that's where the dated infrastructure. When I talk about making it easier for our folks to work here, the dated infrastructure impedes them, this new infrastructure allows us to grow without having to add the same level of expense that's in kind of expense to revenue ratio. So we'll have much better leverage for growth going forward of the new infrastructure.
Richard Tse: Okay. That sort of dovetails into my other question. I know you don't provide guidance, but kind of at a fairly high level at scale because you worked on integrations in the past, when this business is at scale, and I don't know if it's like 2, 3 or 5 years from now, but ideally, what do you think the margin profile would be on the analytic side here? Is that kind of like a mid-30s percent?
Jim Hannon: On the analytics side, I think when the company did at the Investor Day long before I got here, they said analytics in the low 30s. I see that over a couple of years. So if you think in terms of 300 basis points last year, we did 18% adjusted EBITDA for that business, so you can kind of roll that forward for a couple of years. We've added in some acquisitions that you know, Reonomy, we said it was - we said we would get to those breakeven numbers in Q4. Angelo said we're running on plan. That is a little bit of a drag on the 300 bps, but not much, but that acquisition also accelerates, allows us to accelerate beyond 300 bps in the next couple of years. So that low 30s is a very comfortable, steady state for me. And I would expect to be driving margins. It's not going to be a steady - I'm sorry, say it again. The low 30s is very achievable, and it's not a steady state. We will have margin expansion just on volume leverage alone.
Richard Tse: Okay. Great, thanks. Appreciate it.
Operator: The next question comes from Stephen MacLeod with BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you. Good evening, everyone.
Jim Hannon: And congrats to Angelo…
Stephen MacLeod: Sorry- long earnings season. Congrats to Angelo. It's been great working with you, and hopefully, this gives you some more time out on the golf course.
Angelo Bartolini: Thank you, Stephen.
Stephen MacLeod: Yeah. Thank you. Just a couple of follow-ups here. Lots of great color here in the call. So thank you. Just coming around to Reonomy. I'm just curious, do you expect Reonomy to be just sort of margin neutral in the back half of the quarter - in the back half of the year? Or will it actually be an EBITDA contributor in the back half of the year?
Jim Hannon: As - it will be a contributor in the back half of the year because we know - because we're working off the public numbers. So it was a negative operating margin when we got it. It has taken us a couple of quarters to improve that significantly. So getting back to our breakeven comments that we gave at the time of the announcement of the deal, we're tracking the plan. So that puts the second half as contributed.
Stephen MacLeod: Right. Okay, that's helpful.
Angelo Bartolini: And Stephen, I'm going to reiterate this point of yeah, we didn't make the acquisition for the face of the P&L. We made that acquisition to drive our analytics capabilities and that we're delivering as well. So we're hitting the financial profile we announced at the time of the deal, and we've accelerated our development of our analytic capabilites.
Stephen MacLeod: Right. Okay. So the strategic benefits are clearly coming through?
Angelo Bartolini: Yes.
Stephen MacLeod: That's great. Just turning to the tax business. Thanks for the incremental color around the annuity resets. Just so I'm understanding that correctly, it sounds as though you still expect the back half of this year to be relatively positive growth-wise from on the tax business just because you have this large backlog that you're going through. So when do you expect - when does the cycle actually reset? Like is it December 31 and then January 1 of resets? Or is it not exactly that like explicit of a line in the sand?
Jim Hannon: Well, it resets for the calendar year of '23. In the U.K. its - it really - it starts on April 1, technically. So and for us, the implication is that is - that's when we do the annuity billings. It's in the month of April of every year. And so that will not repeat itself next year even as the first year of the readout cycle.
Stephen MacLeod: Right…
Jim Hannon: And having said that, there's this backlog that goes well into next year and - and depending on settlement rates, we could even see spill over into 2024. And they just - they're high-value settlements that we'll continue to achieve based on this current cycle.
Stephen MacLeod: Okay…
Jim Hannon: As we look at U.K. cycle resets, we've gone back three. There's a long tail of the deal. So even though you're in a new jurisdictional cycle, there's still a long tail from prior cycles, and we'll be carrying backlog in that long tail, as Angelo said, all the way to 24, strong recurring cycle.
Stephen MacLeod: I see. I see. And I guess that's why you were saying in previous questions that you will - and you have said in the past, you will offset some of the annuity billings that you'll be losing because of this long tail. I guess that's the way to think about it.
Jim Hannon: Yes.
Stephen MacLeod: Yeah. Okay. That's it from – sorry, go ahead…
Jim Hannon: Okay. And expected growth in the U.S. market will offset it. And the growth from the Rethink acquisition will offset some of it.
Stephen MacLeod: Right. Okay, great. Thanks for the color.
Jim Hannon: All right.
Camilla Bartosiewicz: Thanks, Steve.
Stephen MacLeod: Thank you.
Operator: The next question comes from Paul Treiber with RBC Capital Markets. Please go ahead.
Paul Treiber: Thanks very much. And good afternoon. Just wanted to focus on Altus performance. You mentioned it's rolling out Q4, and you're really excited about it. Can you just elaborate on it in terms of how impactful you see it across the industry or from a customer perspective? And then also, how should we think about it from a financial point of view?
Jim Hannon: Great question. So the Altus performance platform, as I said, is not a product. Our offers will come out around it. So our intelligence offers will come out around it, which our offer structure now combines various solutions that would have been stand-alone. So we do expect a lift, but not significant in this year, but it drives our growth rate that drives that path to 400 next year is predicated off of these advanced analytics capabilities that we'll be bringing. The Altus performance platform also that the same technology that allows us to deliver those analytics also takes a lot of the manual effort out of doing valuations for our folks today. So not only does it allow us to bring enhanced capabilities to our clients. It also drives margin expansion on our service delivery. So our infrastructure investments drive corporate function efficiency, the office performance platform drives new analytics capabilities, as well as service delivery efficiencies for us. So margin expansion.
Paul Treiber: Okay. I see. That's helpful. And just following up on a couple of comments you had on acquisitions and your interest in acquisitions. How should we think about either key categories on the analytics side or gaps that you want to address through acquisitions at some point in the future?
Jim Hannon: Sure. It's the - we called our strategy last year. We have not pivoted at all from our strategy. Our focus is on increasing data and technologies that drive the advanced capabilities. We don't feel like we have any holes in our analytics engine at this point. So StratoDem give us the analytics engine. Reonomy gave us the underlying linking technology of an asset attributes to assets that can then speed into the StratoDem engine. And then Reonomy also gave us data to help train that analytics engine. So more data that can help us see the analytics engine or train models is always interesting to us. That could be on the tax side. It's our own tax data, it's other tax data. It could be ESG data, other macro demographic data. So there is lots of areas of interest for us to expand the attributes of our models.
Paul Treiber: Thank you. That's helpful. I'll pass the line and best of luck to you, Angelo.
Angelo Bartolini: Thank you, Paul.
Operator: [Operator Instructions] As there are no more questions, I will turn the conference back over to Mr. Hannon for any closing remarks. This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.